Operator: Hello, and welcome to the Constellium Fourth Quarter and Full Year 2024 results conference call. My name is Alex. I'll be coordinating the call today. If you'd like to ask a question once the presentation has finished, please press star followed by one on the telephone keypad. I'll now hand over to your host, Jason Hershiser, Director of Investor Relations. Please go ahead.
Jason Hershiser: Thank you, Alex. I'd like to welcome everyone to our fourth quarter and full year 2024 earnings call. On the call today, we have our Chief Executive Officer, Jean-Marc Germain, and our Chief Financial Officer, Jack Guo. After the presentation, we will have a Q&A session. As a reminder and as we previously announced, we are now reporting in US dollars and under US GAAP, starting with our fourth quarter and full year 2024 results today. A copy of the slide presentation for today's call is available on our website at constellium.com, and today's call is being recorded. Before we begin, I'd like to encourage everyone to visit the company's website to take a look at our recent filings. Today's call may include forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements include statements regarding the company's anticipated financial and operating future events and expectations and may involve known and unknown risks and uncertainties. For a summary of specific risk factors that could cause results to differ materially from those expressed in the forward-looking statements, please refer to the factors presented under the heading "Risk Factors" in our annual report on Form 20-F, and in future filings under Form 10-K. All information in this presentation is as of the date of the presentation. We undertake no obligation to update or revise any forward-looking statement as a result of new information, future events, or otherwise, except as required by law. In addition, today's presentation includes information regarding certain non-GAAP financial measures. Please see the reconciliations of non-GAAP financial measures attached in today's slide presentation, which supplement our GAAP disclosures. Before turning the call over to Jean-Marc, I wanted to remind everyone that beginning early last year, we revised the definition of adjusted EBITDA at the consolidated level based on our prior discussions with the SEC. The new definition will no longer exclude the non-cash impact of metal price lag. We will continue to provide investors and other stakeholders with a non-cash metal price lag impact as it is necessary to get a true assessment of the economic performance of the business. Our segment adjusted EBITDA will continue to exclude this impact, and any guidance we provide for adjusted EBITDA will also exclude the impact. And with that, I would now like to hand the call over to Jean-Marc.
Jean-Marc Germain: Thank you, Jason. Good morning, good afternoon, everyone, and thank you for your interest in Constellium. Let's begin on slide five. I want to start with safety, our number one priority. Our recordable case rate for the year of 2.0 per million hours worked was slightly higher than the prior year, but I am pleased to report that we continue to deliver best-in-class safety performance. We are committed to achieving our safety target to reduce our recordable case rate to 1.5. Now let's turn to slide six and discuss the highlights from our fourth quarter performance. Shipments were 328,000 tons, down 2% compared to the fourth quarter of 2023, mainly due to lower shipments in A&T and AS&I. Revenue of $1.7 billion decreased 1% compared to the fourth quarter of 2023, primarily due to lower shipments and unfavorable price and mix, partially offset by higher metal prices. Remember, while our revenues are affected by changes in metal prices, we operate a pass-through business model, which minimizes our exposure to metal price risk. Our net loss of $47 million in the quarter compares to net income of $5 million in the fourth quarter of 2023. Adjusted EBITDA was $125 million in the quarter. Though this includes a negative impact at Valais of $15 million as a result of the flood, this also includes a positive non-cash impact from metal price lag of $27 million. If we exclude the impact of the flood and the impact of metal price lag, as Jason mentioned earlier, the real economic performance of the business reflects adjusted EBITDA of $113 million in the quarter compared to the $178 million we achieved in the fourth quarter of 2023. Cash from operations was $61 million in the quarter, and I'm pleased to report that we continued our share buyback program. During the quarter, we returned $18 million to shareholders through the repurchase of 1.6 million shares. Before turning to our full year performance, I wanted to give you a quick update on the flooding situation in Valais. As of today, the business is on track to complete production ramp-up by the end of the first quarter this year, which is in line with our prior expectations. As we mentioned last quarter, we expect some cost impact in 2025 as production will continue to ramp up, and we expect to receive the remaining portion of the insurance proceeds in 2025 as well. While the impact of the flood had a material impact on our business, I am pleased that total damages from the event came in below our original insurance gross damage assessment, and we will be able to put the event in the rearview mirror very soon. Now turn to slide seven for our full year highlights. For the full year, shipments were 1.4 million tons, down 4% compared to 2023. Revenue of $7.3 billion decreased 6% compared to 2023, primarily due to lower shipments and unfavorable price and mix, partially offset by higher metal prices. Our net income of $60 million compares to net income of $157 million in 2023. Adjusted EBITDA was $623 million for the full year in 2024, though this includes a negative impact at Valais of $33 million as a result of the flood. This also includes a positive non-cash impact from metal price lag of $55 million. Again, if we exclude the impact of the flood and the impact of metal price lag, the real economic performance of the business reflects adjusted EBITDA of $601 million for the year, compared to the record $754 million we achieved in 2023. Given the change in year-over-year performance during 2024, we accelerated our cost reduction efforts and took actions to reduce working capital to align to the current demand environment, which Jack and I will be discussing later on. Moving now to free cash flow. Our free cash flow for the year was negative $100 million in 2024. If you exclude the impact of the Valais flood and include cash received for the collection of deferred purchase price receivables, free cash flow would have been positive $30 million in 2024, which Jack will cover in more detail. Our leverage at the end of 2024 was 3.1 times. If we exclude the Valais flood impact, leverage was 2.9 times at the end of 2024. Clearly, 2024 was a very challenging year for Constellium on many fronts. The year began with the extreme cold weather and snow impacting operations at Muscle Shoals in January, and we experienced severe flooding at our facilities in the Valais region during the summer. In addition, we faced market-driven headwinds starting in the second quarter last year, which became more pronounced in the second half, including demand weakness across most of our end markets and significant tightening of scrap spreads in North America. I want to thank each of our 12,000 employees for their commitment, resilience, and relentless focus on serving our customers during these difficult times. On a more positive note, I am pleased that we started up our new recycling and casting center in Neuf-Brisach in September, slightly ahead of schedule and below budget, and we returned $79 million to shareholders through the repurchase of 4.6 million shares of company stock during the year. I'm also excited to begin reporting our results in US dollars under US GAAP today, and soon, we will file our first annual report on Form 10-K.
Jean-Marc Germain: Now please turn to slide eight. Before turning the call over to Jack, I wanted to give a quick update on the latest Section 232 tariffs and how we see the potential impact on Constellium. Before going into details on the slide, let me summarize a bit. The tariff situation is a fluid and multifaceted situation. We see both some positive and negative impacts on our business, and at this stage, we believe it presents us with various opportunities. The guidance we are giving today does not include any impacts from tariffs. Shifting to the details on the slide now. On the production side, we are mostly local for local in the regions where we operate. We have a joint venture in Canada that provides to our automotive structures business in the US, and these extrusions will become more expensive under Section 232 tariffs. In aerospace, we ship small quantities from Europe to the US to serve global OEMs. Though this has a pass-through today, and it will not be impacted. On the metal supply side, we import some primary aluminum from Canada given the lack of smelter capacity in the US, and some of these imports will become more expensive. Commercial negotiations will be necessary to mitigate tariffs, and there may be a lag in passing additional costs through. In terms of scrap now, aluminum scrap is excluded from the current scope of Section 232 tariffs. We purchase most of our scrap needs from dealers in the US. The impact on scrap from tariffs could be a net positive as it could increase the availability of scrap in the US, and scrap spreads could improve with a rise in the US regional premium for aluminum. Now in terms of commercial impacts, these too could be a net positive for Constellium. Today, around one million tons of flat-rolled aluminum imports are coming into the US. Tariffs will make domestically produced products more competitive, and we should benefit from this. As an example, earlier this week, we announced a price increase for all flat-rolled products shipped in the US. We have some business in the US that is priced quarterly, and we should benefit as soon as the second quarter of this year from the new market dynamics. Overall impact on our end markets is way too early to estimate and will depend on the overall health of the US economy. It will also depend on the types of tariffs to be implemented in the future, including the originally announced and then paused blanket tariffs on Canada and Mexico. The same logic should apply in terms of impact on aluminum. Though the overall impact at this time is unknown. To close out on tariffs, as I said before, the situation remains very fluid. We are continually monitoring and assessing the potential impact of current and future trade policies, though at this stage, we believe it presents us with some opportunities. With that, I will now hand the call over to Jack for further details on our financial performance. Jack?
Jack Guo: Thank you, Jean-Marc, and thank you everyone for joining the call today. Please turn now to slide ten, and let's focus on our A&T segment performance. Adjusted EBITDA of $56 million decreased 33% compared to the fourth quarter last year. Volume was a headwind of $3 million mainly due to lower TID shipments, as commercial transportation and general industrial markets remained weak in the quarter. TID shipments were also impacted at Valais as a result of the flood. Shipments in aerospace were stable versus the same quarter last year, and demand in military aircraft remained healthy. Price and mix was a headwind of $19 million due to a softer pricing environment in TID and weaker aerospace mix in the quarter. During the fourth quarter, A&T had a negative impact of $5 million at Valais as a result of the flood. For the full year 2024, A&T generated adjusted EBITDA of $285 million, a decrease of 19% compared to a record 2023. The drivers of the full year performance were similar to those in the fourth quarter, except cost was a tailwind of $11 million for the full year, and the Valais impact was a headwind of $13 million. Now turn to slide eleven. Let's focus on our P&K segment performance. Adjusted EBITDA of $56 million decreased 34% compared to the fourth quarter last year. Volume was a tailwind of $1 million as higher shipments in packaging were mostly offset by lower shipments in automotive. Packaging shipments increased 4% in the quarter versus last year as demand remained healthy in both North America and Europe. Automotive shipments decreased 10% in the quarter with weakness in both North America and Europe. Price and mix was a headwind of $5 million mainly as a result of weaker mix in the quarter. Costs were a headwind of $24 million as a result of unfavorable metal costs given tighter scrap spreads in North America, partially offset by lower operating costs. As we said in the past, the negative impact of tighter scrap spreads in North America is $15 million to $20 million per quarter given the current market conditions. The fourth quarter of 2023 also benefited from energy-related grants in Europe, which did not repeat to the same degree in 2024. For the full year 2024, P&K generated adjusted EBITDA of $242 million, a decrease of 21% compared to 2023. The drivers of the full year performance were similar to those in the fourth quarter. Now turn to slide twelve. Let's focus on the AS&I segment. Adjusted EBITDA of $4 million decreased 83% compared to the fourth quarter of last year. Volume was a $7 million headwind as a result of lower shipments in automotive and industrial extruded products. Automotive shipments were down 12% in the quarter, with weakness in both North America and Europe. Industry shipments were down 17% in the quarter versus last year as weakness persisted. Industry shipments were also impacted at Valais as a result of the flood. Price and mix was a $2 million tailwind in the quarter, while costs were a headwind of $2 million. FX and other was also a headwind of $2 million. During the fourth quarter, AS&I had a negative impact of $10 million at Valais as a result of the flood. For the full year 2024, AS&I generated adjusted EBITDA of $74 million, a decrease of 43% compared to 2023. Volume, FX, and other were similar impacts in the full year as the fourth quarter, though for the full year, costs were a tailwind of $20 million. Price and mix was a headwind of $25 million, and the Valais impact was a headwind of $20 million. It is not on the slide here, but our holdings and corporate expense for the full year in 2024 was $33 million, up $2 million from last year. We currently expect holdings and corporate expense to run at approximately $40 million in 2025.
Jack Guo: It is also not on the slide here, but I wanted to summarize the current cost environment we're facing. As you know, we operate a pass-through business model, so we're not materially exposed to changes in the market price of aluminum, our largest cost input. Other metal costs, we experienced a dramatic tightening of scrap spreads in North America in 2024. We expect this to continue throughout 2025, and it will create headwinds on metal costs. This primarily impacts our P&K segment as it uses a significant amount of used beverage cans and other types of scrap. For energy, our 2025 costs are moderately more favorable compared to 2024, although energy prices remain above historical averages. Other inflationary pressures have eased to more normal levels. And as we said last quarter, given the weakness we're seeing in several of our markets, we have accelerated our Vision 2025 cost improvement program, with measures such as reducing headcounts and other labor costs, reducing non-metal procurement spending, optimizing maintenance costs by minimizing the use of outside contractors, and cost reduction efforts across many other categories. We have demonstrated strong cost performance in the past, and we're confident in our ability to rightsize our cost structure for the current demand environment. You saw some of the benefits in our 2024 results, and the run rate benefit should be even more in 2025. Now let's turn to slide thirteen and discuss our free cash flow. Free cash flow was negative $100 million for the full year in 2024, although this includes a negative $45 million impact at Valais as a result of the flood, which is net of the $45 million of insurance proceeds we received in 2024. This also excludes $85 million of cash we received for the collection of deferred purchase price receivables, which is a result of our conversion from IFRS to US GAAP and the corresponding accounting treatment. The technical accounting treatment for the collection of the deferred purchase price receivables does not change the economic reality or free cash flow generation historically for Constellium. The deferred purchase price receivables are related to some of our previous factoring arrangements in Europe. We have recently amended these arrangements, and all cash received under the arrangements will be recorded in operating cash flows going forward. As Jean-Marc mentioned, free cash flow excluding the impact of the Valais flood and including cash receipt for collection of deferred purchase price receivables would have been positive $30 million in 2024. Looking at 2025, we expect to generate free cash flow in excess of $120 million for the full year. We expect CapEx to be approximately $330 million this year, which is around $70 million lower compared to 2024. We expect cash interest of approximately $120 million and cash taxes of approximately $40 million, and we expect working capital and other to be a modest source of cash for the full year. As Jean-Marc mentioned previously, we continued our share buyback activities in the quarter. During the quarter, we repurchased 1.6 million shares for $18 million, bringing our 2024 total to 4.6 million shares or $79 million. We have approximately $221 million remaining in our existing share repurchase program, and we intend to use a large portion of the free cash flow generated this year for the program. Let's turn to slide fourteen and discuss our balance sheet and liquidity position. At the end of the fourth quarter, our net debt of $1.8 billion was up $72 million compared to the end of 2023, partially as a result of the Valais flood. Our leverage was 3.1 times at the end of 2024, up 0.8 times versus the end of 2023. If you exclude the Valais flood impact, leverage was 2.9 times at the end of the year. We're committed to maintaining our leverage in the target leverage range of 1.5 to 2.5 times over time. As you can see in our debt summary, we have no bond maturities until 2028, and our liquidity remains strong at $727 million as of the end of 2024. With that, I would now hand the call back to Jean-Marc.
Jean-Marc Germain: Thank you, Jack. Let's turn to slide sixteen and discuss our current end market outlook. The majority of our portfolio today is serving end markets benefiting from durable, sustainability-driven, secular growth, in which aluminum, a light and infinitely recyclable material, plays a critical role. However, in the short term, many of these markets are facing headwinds. Turning first to the aerospace market. Commercial aircraft backlogs are robust today and continue to grow. Major aero OEMs remain focused on increasing build rates for both narrow and wide-body aircraft, though supply chain challenges continue to slow deliveries. As a result, aerospace supply chains need to adjust to lower-than-expected build rates, causing a shift in demand to the right for some of our products. Despite the slowdown in the near term, demand has stabilized for the most part, and we remain confident that the long-term fundamentals driving aerospace demand remain intact, including growing passenger traffic and greater demand for new, more fuel-efficient aircraft. Demand remains stable in the business and regional jet markets and healthy for military aircraft. Turning now to packaging. Demand remains healthy in both North America and Europe. The long-term outlook for this end market continues to be favorable, as evidenced by the growing consumer preference for the sustainable aluminum beverage can, capacity growth plans from can makers in both regions, and the greenfield investments ongoing here in North America. Longer term, we continue to expect packaging markets to grow low to mid-single digits in both North America and Europe. Let's turn now to automotive. Automotive OEM production of light vehicles in Europe remains well below pre-COVID levels and is still below pre-COVID levels in North America as well. Demand in North America has softened in the near term, and demand in Europe remains weak, particularly in the luxury and premium vehicle and electric vehicle segments, where we have greater exposure. In the long term, we believe electric and hybrid vehicles will continue to grow at a lower rate than previously expected. Sustainability trends such as light-weighting and increased fuel efficiency will continue to drive the demand for aluminum products. As a result, we remain positive on this market for the longer term in both regions, despite the weakness we are seeing today. As you can see on the page, these three core end markets represent over 80% of our twelve-month revenue. Turning lastly to other specialties. In North America, demand appears to have stabilized, albeit at low levels, and demand remains weak in Europe. We've experienced weakness across most specialties markets for more than two years now, though we are beginning to see some green shoots in certain TID markets in North America. As a reminder, these markets are typically dependent on the health of the industrial economies in each region, including drivers like the interest rate environment, industrial production levels, and consumer spending patterns. As Jack mentioned, we continue to work hard to adjust our cost structure to the current demand environment, which will put the businesses in an even better position when the industrial economies do recover. To conclude on the end markets, we like the fundamentals in each of the markets we serve. We strongly believe that the diversification of our end markets is an asset for the company in any environment and that the current conditions will pass. Turning now to slide seventeen. Based on our current outlook, including the current end market conditions I just described, for 2025, we are targeting adjusted EBITDA excluding the non-cash metal price lag in the range of $600 to $630 million and free cash flow in excess of $120 million. I'm also excited to establish today new long-term targets. By 2028, we expect to achieve adjusted EBITDA excluding the non-cash metal price lag of $900 million and free cash flow of $300 million. On this slide here, we provided a bridge to show the major drivers to achieving $900 million of adjusted EBITDA. Our 2028 target incorporates a recovery in Valais following the flood, which is well underway, and an improvement of Muscle Shoals' operational performance, which we have demonstrated recently in the past several months. It also incorporates the benefits from our previously announced return-seeking investments, which include cost-saving investments like the recycling and casting center in Neuf-Brisach, and the cast house investments in Versailles and in Ravenswood, as well as growth projects like the new Alcoa cast house and the battery foil investment with In Zinger. All of these projects, as well as some other smaller investments, are included in our existing CapEx umbrella. We have also assumed additional market growth for each of our end markets, though the growth rates we assumed are rates which are generally below current industry estimates. As we have demonstrated in the past, we will continue to be disciplined on price. Also, as we have demonstrated in the past, we expect to maintain strict cost control to mitigate future inflationary impacts through productivity gains and other cost reduction initiatives. We have assumed the current tight scrap market in North America continues through 2028, which will lead to unfavorable metal costs primarily in our P&K segment compared to 2024. We also assume a contingency in our 2028 target that should help offset potential deviations from the assumptions I just described. Lastly, on the bridge, we assume no impact from tariffs, and we assume also that the macroeconomic and geopolitical conditions remain generally stable. But we are used to changes. Turning lastly to slide eighteen to conclude, while we continue to face challenging conditions in most of our markets today, we believe that this will pass, and I remain very excited about our future and the ability to seize the many opportunities in front of us. We have demonstrated over and over again that we have the right strategy, the right teams, and the right products in the right markets, and that we know how to overcome crises. Our business model is flexible and resilient, and our diversified portfolio allows us to always have options in very different market conditions. We have built the balance sheet we need to weather crises and seize opportunities, and our high-value, recyclable, and sustainable products respond to the growing needs of our customers. We are extremely well-positioned for long-term success, and we remain focused on executing our strategy and on shareholder value creation. With that, operator, we will now open the Q&A session, please. Thank you.
Operator: Our first question for today comes from Corinne Blanchard of Deutsche Bank. The line is now open. Please go ahead.
Corinne Blanchard: Thank you. Good morning. Maybe the first question and the second will be probably around the same line. But the guidance that you guys gave, and you did a good job at giving a lot of detail right now, but can you just give us maybe a little bit more, like, on the key tax and input for the 2025 EBITDA guidance? And also for the free cash flow, like, maybe the cadence going into Q2 and Q3. And then my second question would be on the long-term outlook. Can you walk us through the bridge from 2025 to 2028? And how confident, you know, should the market or should investors be in that number by 2028? Thank you.
Jean-Marc Germain: Yes. Good morning, Corinne. Thank you. And I'll start, and Jack, I'm sure, will help me. So on your first question on the key tax inputs for 2025, so you look at the current conditions. I mean, as we said, the conditions we experienced in the second half of 2024 are continuing and will feel their full impact in 2025. So the scrap spreads, for instance, the tightening of scrap spreads, we were protected last year with some annual contracts. We'll get the full impact of them coming year. We believe that automotive is also going to be very weak in 2024, especially in Europe. On the aerospace side, we see that OEMs are struggling to meet their ramp-up. So that creates some elements of destocking in the supply chain. So we're quite prudent on our assumption for our own shipments in aerospace and with the two main OEMs. Even though we can make up some of that with other programs like military aircraft or space as well. And then obviously, the foreign exchange is not helping with the dollar strengthening of late. So that's another element. And then the Valais, as Jack mentioned, I believe, you will still have some costs in Q1. So all that adds up to a number which is quite hefty going into 2025. Now to offset that, we had talked about, you know, all the initiatives we have in place. We had talked about the ramp-up of the recycling center in Neuf-Brisach, and that's still very much underway and going well. We had talked about operational improvements in Muscle Shoals, which we were starting to see the beginning of, but now we feel very confident that we are doing a good job there and we're back on track. We also have the repricing of some of our contracts in aerospace, which is going to benefit us starting in Q2. So and obviously, the cost savings that we've accelerated that Jack can maybe comment a bit more about, in 2025 in light of the changing market conditions, our ambitions for cost reductions have greatly increased compared to where we were back in 2024. So when all that is said and done, you see a lot of adverse headwinds on the market side, right, generally. A little bit of a weaker beginning of the year because of the Valais and especially in the time it takes to have full benefit of, you know, cost savings. And then you see all that being offset by the actions we had talked about. So I think that that end. That's how I can answer your first question. I don't know, Jack, if I missed anything or
Jack Guo: No. I think that's good. I think, obviously, in a weaker environment, as we mentioned, we're accelerating our cost reduction efforts on Vision 2025. You know, a bucket of that is using labor, then a bucket of that is outside of labor. And, you know, previously, we've indicated, you know, a $50 million program over three years. And we're targeting, you know, $15 to $20 million, if you will, for 2025 relative to 2024 in this environment. We're looking at more savings. We're looking at, you know, $50 million plus of opportunities. We're executing on. We're very proud of the efforts we've made so far, and we'll be very focused on cost.
Jean-Marc Germain: Yep. So that's your first question. Thank you, Corinne. You want to move to the second one? The optimal look 2024 to 2028. I guess, 2025 to 2028. Right? So 2028.
Jack Guo: Yeah. So starting in 2025. Right?
Jean-Marc Germain: And I'll go back to page seventeen. Right? Most of the investments we're talking about, the second, so sorry. Let me back up. The Constellium recovery is still very much in play. And most of that will, you know, is obviously, the Valais flood recovery is no more there because it happened in 2024. Right? So if you start in 2025, that's already done. The investments are going to play out mostly towards the end of the period. I mean, the recycling center in Neuf-Brisach is exactly right now, but the other investments are going to contribute towards the later part of the period. We believe that overall, the path from now to there to 2028, is pretty linear. With some uncertainty, you see about how the markets recover. And, you know, one can make a case for markets recovering a bit faster. Our own assumptions internally, we believe are more prudent than what is out there. So we think, you know, some could say, well, it should improve faster, but we've been burned recently, so we tend to be prudent. You could also say that and that's not in our guidance, that tariffs in the US are going to be favorable to domestic suppliers, so that could accelerate some of that process. Anyway, we think we're going to be quite, we like to be quite prudent. And then on the, I think, the bigger red box you see on the scrap spreads, believe that once we've taken the brunt of the scrap spread tightening impact this year, this should be kind of stable in the future. So we're not banking really on any improvement of the scrap spreads. The reason we're not thinking that they can go worse is because at some point, it just becomes indifferent whether you recycle aluminum or you buy shitting gut from primary aluminum. And that I think, you know, if you look at the scrap market, it's a worldwide market at some point. If scrap rates become too tight in the US, it will create imports of scrap into the US like that has happened in the past. So we're at a historically tight scrap levels here in the US. I don't think we've got much of a risk of that getting worse. So that's how I can think about the kind of a 2025 to 2028 pre-regular cadence. And, obviously, we know that the market can throw us some curveballs from time to time. But we are trying to stay ahead of it.
Corinne Blanchard: Thank you. Maybe if I just can come back very quickly on the 2025 guide. Something that's in there I've been asking since this morning is, like, how should we think about the guidance if it had been given in euro, so what is the gap impact? Like, we're trying to see, like, what the factoring and needs impact and trying to see, like, you know, what could have been the number of, you know, if you hadn't made the switch or so.
Jean-Marc Germain: Yeah. Corinne, maybe we can take this offline. I mean, we're a US dollar company now, and we're thinking in US dollar terms. We're yeah. But we can help you with the bridge, potentially, afterwards.
Corinne Blanchard: That's fair. Okay. Thank you.
Operator: Thank you. Our next question comes from Katja Jancic from BMO Capital Markets. Your line is now open. Please go ahead.
Katja Jancic: Hi. Thank you for taking my questions. Maybe going back to the 2025 guide, is it fair to assume, given that near-term market is pretty challenging, that's the weighting is going to be more second half relative to first half?
Jack Guo: I mean, that's generally a fair well, I would say, the way I would kind of look at it is I would look at first quarter and then beyond first quarter. You know, first quarter, Jean-Marc already alluded to, you know, we have it's first of all, seasonably, due to seasonality, it is weaker comparatively. And we will have some impact from the remaining impact from the flood at Valais. And, you know, as we progress through into the year, we'll see, you know, some of the benefits to kick in more like the cost initiative, like the Muscle Shoals improvement, so it'll be stronger in the middle of the year.
Katja Jancic: So it's more like first quarter relative to the rest of the year. Right?
Jack Guo: Correct.
Jean-Marc Germain: And then Katja, even though it's not in our guide. Then just on the
Katja Jancic: On the
Jean-Marc Germain: Oh, sorry. Katja. I just wanted to add even though it's not in our guidance, we have to look at what the tariffs may mean for us. And as I said, you know, tariffs by now, it should be late the way they are structured today should create opportunities for us. So that's more in the second half of the year of this.
Katja Jancic: And is it similar for the free cash flow generation?
Jack Guo: So, it's a good question. So, working capital for the busier seasons. And, typically, you know, free cash flow is negative in the first quarter due to that reason. But you remember, we started a number of cash initiatives last year to release cash from working capital due to the weaknesses we've experienced. And there was a kind of there's typically a lag in terms of when we see the benefits from those actions. We saw some benefits in the fourth quarter last year, but we'll see the remaining benefit in the first quarter of this year to help offset the buildup of working capital, if you will. If that makes sense.
Katja Jancic: Yeah. And Jack, you mentioned, you know, a lot of the free cash flow will be used for share buybacks, but given the, you know, the timing, is this again more maybe initially first Q, we don't really see an acceleration, and then we see an acceleration later in the year.
Jack Guo: So I think we're comfortable with our leverage. And we're very confident in our, you know, liquidity position. And we're, you know, confident in our free cash flow generation. So when you put it all together, we'll continue to be quite hands-off and just let the program run.
Katja Jancic: Okay. Hop back into the queue. Thank you.
Jean-Marc Germain: Thank you.
Jack Guo: Thank you.
Operator: Our next question for today comes from Bill Peterson of JPMorgan. Your line is now open.
Bill Peterson: Yeah. Hi. Good morning or good afternoon, Jean-Marc and Jack. I have a few questions that I'd like to kind of come back to on the demand environment and I guess how that impacts the outlook for the year $600 to $630 million. I guess speaking about the market aspects themselves, hoping you can go through the key assumptions for market growth and also your own shipment growth and mix across the bigger markets like aerospace, packaging, auto, and other. You know, for example, Aero, we're kind of aware of the destocking, but are you assuming shipments will remain kind of weak for the year and mix will be unfavorable? In the case of auto, you talk about weakening US. Does that mean we should think of that going down this year, and then maybe in Europe, just remaining stable at a low level? Kinda similar to industrials, or are you just assuming flat given it's just already it already has been weak in Europe? Trying to get a better understanding of how these end markets should impact this overall guide. And I guess how that could then translate into your reporting segment EBITDA, you know, flat, up, down, so forth?
Jack Guo: Okay. So it's a really good question, Bill. I don't think we want to be too prescriptive on this one, but, you know, generally speaking, if you look at aerospace, we expect a stable type of environment. Although, a mix could be weaker, as we've said in a weaker aerospace environment, it caused us to, you know, push out some of the more profitable volume to later. Right? So you expect to see unfavorable mix, but stable from a volume perspective in Europe for aerospace. We do believe automotive will continue to be weak this year if you were to look at the latest industry, you know, build rates for the year. In both North America and Europe, they're expected to be versus 2024, and that will impact our automotive business. If you look at TID, I think there are, you know, there's some opportunities in TID, especially in North America in light of the tariff situation. So we do expect that to improve. And packaging, we do expect continued improvement in the packaging market. And did I forget any other markets? No. And I think also in TID in Europe, just the fact that we are not flooded anymore and we've resumed production, that's going to help us as well out of our CF facility. Yep. So good point.
Bill Peterson: Yeah. Great. Thanks for that additional context. For the full year guide. Wanted to come back to scrap. Both kind of from a near-term perspective sort of 2025 as well as, you know, the bridge for 2028. So first in the near term, guess, is this sort of $15 million to $20 million per quarter discussed in the 4Q bridge the right way to think about the headwind for 2025. And then over the midterm, and I guess on your bridge slide, can you break down, I guess, the impacts of scrap versus foreign exchange? And I guess, how should we think about scrap spreads in other regions you operate in, particularly in Europe, acknowledging, you know, maybe better fundamental recycling rates and overall environment may be potentially offset by weaker industrial activity.
Jean-Marc Germain: Yeah. I'll start, Bill, and Jack will help me as well. So we think that the impact of scrap spreads is really a 2025 event, and then we do not assume really an improvement going forward. It is we believe it is mostly a North American problem. And when I look at what scraps we're buying in Europe today, yes, it's a little bit tighter, but nothing really to write home about. And long term, as you pointed out, there is more and more recycling happening in Europe. Right? More and more collection of scrap, both, you know, industrial and consumer scrap. So I think that's good for the, you know, so the balance in Europe. And we feel that we are well covered both in the short term and the long term in Europe. North America, as I mentioned, it is a painful situation. The scrap spreads are very tight. We believe they're going to stay very tight, but, you know, from a variant standpoint, once we're past the 2025, we think it's not going to have much of an impact. And in terms of foreign exchange, Jack will help me, I'm sure. But the dollar is stronger now. It was an average last year, the year before, actually. So that's reflected in our guidance. We don't make an assumption that the dollar is going to change much from where it's at 1.04, 1.05. Right? So we don't assume it's going to be different in 2025, 2026, 2027, 2028, but it's pretty flat. Does that answer your question, Bill?
Bill Peterson: Okay. Thanks for that. And I guess maybe that last point is if yeah. No. It largely doesn't. And I guess in the last point, if euro was to become stronger over the coming years, that actually flips to the tailwind, I guess, to the point.
Jean-Marc Germain: That is correct. Yes. It creates a yeah. It creates a tail. Thanks. Our cash flows standpoint is not much different. Right? The translation effect is tailwind. Yes.
Bill Peterson: Thank you.
Operator: As a reminder, if you'd like to ask a question, that's star one on the Internet phone keypad. Our next question comes from Timna Tanners of Wolfe Research. Your line is now open. Please go ahead.
Timna Tanners: Hey. Good morning. I wanted to ask a few higher-level questions if we could take a step back. So I know we just talked about the scrap dynamic in the US. But with regard to that being sustained with new capacity starting up this year, putting more pressure or sustained pressure on scraps, like, what can you do to prepare longer term? You know, you passed through the Midwest premium, which has obviously exploded. Is there just no way to pass through scrap in the short term and in the longer term, can you switch up your inputs? And then same question, short term, long term, you know, responses that Constellium can contemplate in terms of EU auto. If EU auto is just sustainably lower for the longer, can you switch some of that capacity? More longer term? And then, the third, you know, short term, long term question is really on the potential for switching away from aluminum given these higher prices Coca-Cola talking about that topic. So just those are three questions. I'm sorry. I can repeat what you want, but I'd love to get your thoughts.
Jean-Marc Germain: Yeah. That's fine. Good. Thank you, Timna. Good morning. So on the scrap dynamics, right, so there is a specific pressure on used beverage cans, but that's, you know, it's a very large portion of what we buy, but it's I don't want to give an exact number, but around 50% of what we buy. Right? So there's all the types of scrap, and there's plenty of other scraps that we can use. And the other factor is as the Midwest premium increases and that the US economy becomes stronger relative to the rest of the world, which is happening right now, we end up in a place where imports of scrap, as I mentioned earlier, become more attractive. So that also will put a dampening effect on further scrap tightening. Then as you mentioned, you know, at some point, if it is so expensive and people will look at okay. Well, there's a better option, which is buying shitting guts from primary smelters. And that will put also a damper on how prices can go. So all that we believe, we fact that all in at pretty high levels. So we believe that the projections we have, you know, that are in both our $600 and $900 targets reflect scrap market conditions that are quite unusual and we do not believe are sustainable. And we will see. So maybe there's an upside there. And I think you had a question also on so I think I was a question on scrap. Right. The question on EU auto. Yes. So the first thing to do is for us, is we're not going to invest growth CapEx in automotive. Okay? And we have not recently, and we are not going to do that anytime soon given where the markets are and the uncertainty. So now it's a matter of how do we best use the capacity we have. As you know, you know, 80% of the assets, if not more, that make auto are used also for other products like, can sheet to mention. And we believe that, you know, we have this opportunity to make more can sheet. We and we have it both in North America and Europe. So that's very much in play for us. And we are fully ready to do that. If anything, last year, we passed on some volume opportunities quite significantly in can sheet because we couldn't produce for plenty of reasons starting the snow events in the summer socials and then some operational issues we had that we don't have anymore. So we believe we are we're able to repurpose capacity quite efficiently. And then obviously, if there's no limited business for automotive, well, we'll have to be very strict. And now we manage our costs on the auto finishing lines, which are, you know, an important, but not a huge part of our business.
Jack Guo: And then finally, you mentioned, you know,
Jean-Marc Germain: aluminum is going to be so expensive that maybe people will switch away from aluminum. Well, steel is getting expensive too, by the way. Historically, it's quite interesting to note that people look at the that's aluminum as being volatile because it's quoted daily, and plastics and steel are less transparent. Actually, when you look at the volatility of input materials, plastics and steel are more volatile than aluminum. Number one, so as a user, okay, and I've got to make a choice of what I'm going to use. I get more stability and I can hedge it by the way, the volatility, which is much more difficult for the other ones. So I got a material that I better know how it's going to what it's going to cost. The second point to remember is that aluminum even today, you know, even if you were to put the nearest price at Midwest premium, sorry, at a thousand dollars plus a ton, it is still less expensive than it was in 2007. And there was no change in the packaging mix happening in 2005 to 2008 or 2006 to 2007 because of changes in the price of material. And finally, I'll submit that it is a very small part of the package. Of the finished product. Right? And there's many more choices than just how much the price of that, you know, beverage can is going to be next quarter. That goes into the choice of packaging. I mean, you've got the whole infrastructure, the filling lines that you got to handle, and they require capital. You got the distribution channels. You got consumer preferences. You got the shelf space. All these questions are and then and then more. Right? All these questions that need to be addressed. So I don't want to be casual and say that when James Quincy says, well, we can also use other materials. This doesn't mean it. But I think it takes a very substantial shift in relative competitiveness of materials for such changes to happen and then they happen at a slow pace if they do. Did I answer your questions, Timna?
Timna Tanners: No. That's helpful, Jean-Marc. Thanks for the details.
Jean-Marc Germain: Thank you. Sure. Thanks. Thank you. You're welcome.
Operator: Thank you. At this time, we currently have no further questions. So I'll hand back to Jean-Marc for any further remarks.
Jean-Marc Germain: Well, thank you everybody again for your interest in Constellium. As you can tell, 2024 was not a fun year for us. It was disappointing in terms of outcome. I think I can say and I hope we've convinced some of you that we're on a strong footing to resume growth and we've got a clear path ahead of us and the path ahead of us relies on things that are really a lot of them a lot of them are under our control. So we're excited about the years coming ahead of us. And we look forward to updating you on our process in the next quarter. Thank you so much, everybody. Bye-bye.
Operator: Thank you all for joining today's call. You may now disconnect your lines.